Operator: Good morning. My name is Lita and I will be your conference operator today. At this time, I would like to welcome everyone to the Boardwalk Real Estate Investment Trust Third Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the presentation remarks there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. James Ha, Director of Finance, you may begin your conference now.
James Ha: Thank you, Lita. And welcome to the Boardwalk REIT 2014 third quarter results conference call. With me here today is Sam Kolias, Chief Executive Officer; Rob Geremia, President; William Wong, Chief Financial Officer; and Bill Chidley, Senior Vice President of Corporate Development. Please note that this call is being broadly disseminated by way of webcast. If you haven't done so already, please visit www.boardwalkreit.com, where you will find a link to today's presentation as well as PDF files of the Trust's financial statement, management discussion and analysis, as well as supplemental information package. Staring on Slide 2, I'd like to remind our listeners that certain statements in this call and presentation maybe considered forward-looking statements. Although the Trust believes that the expectations set forth in such statements are based on reasonable assumptions, Boardwalk's future operation and its actual performance may differ materially from those in any forward-looking statements. Additional information that could cause actual results to differ materially from these statements are detailed in the earnings press release and in other publicly filed documents, including Boardwalk REIT's Annual Report, annual information form and Quarterly Report. Moving on to Slide 3, our topics of discussion for this morning will include highlights of the REIT's third quarter results; current fundamentals of the multi-family market; a review of the Trust's financial and operational performance in market and development update; portfolio highlights; operational review and analysis; financial overview; and lastly, an outlook and quarterly guidance update. At the conclusion of today's presentation, we will be opening up the phone lines for questions. I'd like to now turn the call over to Sam Kolias.
Sam Kolias: Thank you, James, and thank you everyone for joining us this morning. We are pleased to report our solid quarter for the Trust. Starting on Slide 4, some financial highlights for the three-months in the third quarter of 2014 include rental revenue of CAD118.9 million, an increase of 4.3% from the same period last year; NOI of CAD75.8 million, up 2.6% from the same period last year; funds from operations of CAD46.8 million, an increase of 4.1% from last year. FFO per unit of CAD0.90 on a diluted basis up 4.7%; and adjusted funds from operation per unit, which includes an estimated CAD475 per apartment unit of maintenance capital per year of CAD0.82, up 5.1%. Some financial highlights for the nine months period of 2014 includes total rental revenue of CAD353.4 million, an increase of 4.5% from the same period last year; NOI of CAD218.8 million, up 2.6% from the same period last year. Funds from operations of CAD132.1 million, an increase of 4.2% from last year. FFO per unit up CAD2.52 on a diluted basis, up 4.1%; and adjusted funds from operation per unit, which includes an estimated CAD475 per apartment unit of maintenance capital per year, up CAD2.29, up 5%. Some portfolio highlights on Slide 5 includes overall occupancy for the third quarter of 2014 was down 35 basis points to 98% from 98.35% in the same period last year. Monthly average occupied rent realized period ending for the third quarter, which includes ancillary income, was CAD1,160 per apartment unit, up CAD45 from the CAD1,115 per apartment unit in the same period last year. Our same property performance for the third quarter, rental revenues increased by 4.2% for the three months of the third quarter and 4.3% for the nine months of 2014. Overall, operating cost increased by 7.1% for the three months for the third quarter and 7.9% for the nine months of 2014. Total NOI increased by 2.6% for the three months of the third quarter and 2.3% for the nine months of 2014. As Slide 6 illustrates, our rental revenues are cyclical in nature. In the third quarter of 2014, the Edmonton and Calgary markets continued to be in a period of higher occupancy coupled with increased rents and lower incentives. Saskatchewan remains in a softer part of the rental cycle to reflect higher supply of newly constructed rental apartments resulting in slightly lower occupancy levels and some incentives being introduced to optimize occupancy levels. Fort McMurray has seen higher vacancy and incentives reflecting an increased supply of new housing coupled with a slowing global economy. Suncor has confirmed it will go ahead with its Fort Hills CAD7 billion mine despite low prices. Fort McMurray is 2% of our portfolio. Occupancy has allowed us to increase rents in Edmonton and Calgary, two of our core markets on broad basis during the third quarter. Moving on to Slide 7, there still remains a significant gap between the economic rent required for new rental construction and condominium home ownership in Alberta and Saskatchewan. Please note, the quality of condos is typically higher and this should be kept in mind when reviewing this chart. Slides 8, 9, and 10 details our net operating income optimization strategy and revenue strategy and highlights the Trust’s strategic balance between customer service, occupancy levels, market rents and operating costs with customer service and occupancy being the primary focus. Regardless of where the Trust markets are during the aforementioned revenue cycles, Boardwalk believes that continued focus on high occupancy, increased retention and our constant focus on customer service and quality is the key to providing the most stable long-term sustainable revenues and net operating income. Increased retention and lower turnover reduces costs and increases net operating income. Boardwalk's customer friendly, self regulated rent control and the elimination of rental increases for customers that can prove financial hardship continues to drive high occupancy, build goodwill and stronger community. Slide 11 shows our focus on quality and service is being rewarded by higher occupancy and lower turnover. Slide 12, shows our average customer stay is increasing, reflecting more of our customers who are calling Boardwalk home. If you truly feel at home, where else would you want to live? Slide 13, highlights the increase in both the Trust’s occupied and market rents relative to our last fiscal quarter three months ago. During the last month of the last quarter the Trust’s average occupied rent has increased by CAD7 per apartment unit since the last quarter and by CAD45 per apartment unit since last year. This trend remains positive. Trend at the spread between occupied and market rents is down again for this quarter compared to prior quarters. As shown in Slide 14, the Trust continues to have a favorable mark-to-market with the average loss-to-lease totaling CAD30 per apartment unit per month. An illustration of the effect of a CAD25 increase or decrease to rents on FFO is shown on Slide 15. Assuming that occupancy levels and operating costs remain the same, a CAD25 adjustment to rents would increase or decrease the Trust's FFO by approximately CAD0.20 per unit. The effect of an increase in expenses is also illustrated on this slide. Each 1% increase in expenses decreases the FFO per unit by approximately CAD0.03 using 2013 annualized expenses. Chart on Slide 16 demonstrates occupancy versus availability. Our occupancy for the third quarter decreased slightly while our availability increased. Availability below zero reflects rental that will be occupied in future months. We believe that occupancy of 97% or higher reflects the Boardwalk rental price. Slide 17, reflects demand, i.e., rentals as compared to supply or also known as move-outs, and ties into our occupancy. In the third quarter move-outs have decreased slightly less than rentals with the resulting small rise in occupancy levels in the last month of the last quarter. Slide 18, illustrates vacancy loss and incentives. Incentives increased relative to last quarter, reflecting our softer Saskatchewan and Fort McMurray markets. Slide 19 shows the results of the Trust customer move-out surveys move-out surveys. For the third quarter, turnover was up 2.1%. Move outs to purchase new homes were up 2.4% new housing is a significant alternative and our continued focus on building goodwill, quality and service are all essential. Skips have dropped by 1.2% reflecting an improvement in screening and market wide lower vacancy. Transfer to another Boardwalk apartment has dropped by 10.2% reflecting a rental market that is moving into more of a balance. Rent too expensive have increased by 4.9%. Slides 20 and 21 show a slightly softening economy going forward for Alberta, while Saskatchewan's economy seems to be stabilizing. Multifamily starts are forecasted to increase slightly for Alberta and Saskatchewan in 2014. Single detached starts in Alberta are up for 2014 and Saskatchewan are trending down slightly in 2014. Slide 22 illustrates the most recent unemployment statistics in Alberta and Saskatchewan. Both provinces unemployment rate continues to be low. Slide 23 illustrates average weekly earnings as of the third quarter. Alberta workers continue to earn the highest wages in the country. With average weekly earnings increasing year-over-year. All other provinces also saw positive wage growth for the same period. Slides 24 and 25 show the most recent migration numbers for Alberta and Saskatchewan. Migration for both Saskatchewan and Alberta are forecasted to be lower in 2014. With more supply of multifamily units in Alberta forecasted for 2014, the rental market supply and demand statistics reflect the movement to a more balanced market. Saskatchewan's international migration continues to be the biggest source of migration and is lower than last year’s numbers. Slide 26 shows a breakdown of major projects investing in Alberta which total CAD209.4 billion as of October 2014, down CAD10.9 billion over last quarter, reflecting some shelved upgrader projects. We continue to monitor the long-term capital being invested in Alberta as the leading indicator to future demand for housing. As shown by Slide 27, land sale revenue for the province of Alberta relating to petroleum and natural gas have slowed versus last year. Natural gas and oil prices have fallen since the winter high and the Canadian dollar is weaker which is positive for oil and gas producers who export oil and gas in US dollars. As depicted by Slides 28 and 29, the Alberta housing market has risen over the last quarter. The single family home prices in Edmonton and Calgary up slightly. As depicted by Slide 30, the average residential sales price is up slightly in Saskatoon and down slightly in Regina. Slide 31 illustrated implied cap rates in relation to our unit price. Over a two year period the public REIT market appreciation has narrowed the gap between the implied cap rate represented by our unit price and the cap rate that quality assets are selling out in the private market. Stock and bond markets continue to be volatile. Slide includes IFRS value, a fair rental revenue and expenses used to calculate implied cap rates on a per share basis and compares the Trust valuation net of CAD3.09 of cash per unit. Please note that this cash will be reduced as a result of our most recently announced special distribution of CAD1.40 per unit which distributed in January to unitholders of record on December 31st. Remaining proceeds of the sale of non-core assets will fund our special distribution. As in the past, we continue to take a balanced to capital allocation. We continue to review our portfolio. Our current public market valuation continues to represent exceptional value when considered against current replacement costs and other consumer housing options like condominium ownership and current valuations on private market transactions. I would now like to pass the call on to Bill Chidley who will provide more details on our newest projects. Bill.
William G. Chidley: Thank you, Sam. Cap rates for well located better quality properties remain at low levels. Sale activity has declined in the most markets in 2014, due primarily to reduce availability of good assets. Moving on to Slide 33. We executed a fixed price contract and construction has commenced on Pine Edge Estates. This is the first Phase consistent visiting of 79 units located on our existing property Pines of Normanview. Anticipated completion of this Phase is Q1 of 2016 and is expected to cost approximately CAD14.1 million or CAD178,000 per door, which equates to a CAD179,000 per square foot buildable and CAD209 per square foot rentable. We are estimating the stabilized cap rate to range between 6% and 6.5%, excluding land. Including the appraised land value of approximately CAD12,000 per door the cap rates would be reduced by about 40 basis points. We have factored in some market rent decline in this analysis reflecting the possibility of continued market weakness. This four story wood framed elevators building will have one level of underground parking. There are 13-1 bedroom and 66-2 bedrooms which 66 have two baths. Moving on to the next slide. This slide highlights our other development opportunities. In Calgary, a rezoning application was approved by City Council to build 200 additional units at Sarcee Trail Place. We have retained an architect to update the concept plans and will be assessing the economic viability of this project. In Edmonton, we received approval from City Council for our RA9 zoning in January 2014. The city is currently working on a text amendment to increase the FAR on all RA9 zones to five FAR which would allow us to build 312 additional units on this site. City planners expect this text amendment to be ratified early 2015 by City Council. We have one major site in Calgary and one in Regina that we consider strong candidates for master planning. These sites could achieve substantially higher density but would require substantial demolition. I would now like to turn it over to William Wong. William?
William Wong: Thank you, Bill. Slide 35 shows the computation of FFO for the three and nine months ended September 30, 2014, versus the same periods last year. And is calculated using profit from continuing operations as shown in our consolidated statement of comprehensive income prepared in accordance with IFRS. Reported Funds from Operations or FFO, a performance measure not defined by IFRS but that better reports the overall operational performance of real estate entities, for the current quarter was CAD46.8 million, up 4.1% from the amount reported in the same period last year. On a per unit basis, increased by 4.7% from CAD0.86 to CAD0.90. The increase was primarily driven by organic rental revenue growth and lower financing costs. For the first nine months of the year FFO was CAD132.1 million, up 4.2% from the CAD126.7 million from the same period in the prior year. FFO per unit of 252 was up CAD0.10 or 4.1% from 242 for the same period in 2013. As a result of reporting in accordance with IFRS, management has adjusted the calculation of FFO with the fair value adjustment on its investment properties, the LP B units and a deferred unit-based compensation as well as the distributions that was made on LP B units. The next slide, Slide 36 shows our reconciliation on a per unit basis of FFO for the three and nine months ended September 30, 2014, from the FFO amounts reported in 2013. As the slide shows, NOI growth from our stabilized properties and decrease in financing costs contributed CAD0.02 and CAD0.01 to FFO growth for the current quarter compared to same period in the prior year. This was partially tampered by the FFO loss on the sale of West Park Ridge and our BC property portfolio. Included in a CAD0.03 FFO loss on sale for the current quarter was an adjustment for property taxes on our BC property sale of CAD0.01. For the first nine months of the year, NOI growth from our stabilized properties and a reduction in financing costs contributed CAD0.10 and CAD0.07 respectively. Administration and other negatively impacted FFO by CAD0.05 as a result of wage and salary inflation as wells as higher utility costs for our head office building in the first quarter of this year. Slide 37, provides an overall review of rental operation performance for the current quarter and first nine months of the year as shown in our income statement. Revenue from continuing operations including ancillary rental income at [indiscernible] for the current quarter was higher by approximately CAD4.9 million or 4.3% compared to the same period in the prior year. Primarily due to higher average rental rates while maintaining high occupancy levels. Total rental expenses for the current quarter increased by approximately CAD2.3 million or 5.6% from CAD40.8 million to CAD43 million, primarily due to higher operating expense and utilities. Operating expenses were higher by approximately CAD1.4 million or 6.2% due primarily to higher repairs and maintenance. Utilities were higher by approximately CAD0.6 million or 7% due primarily to higher natural gas prices in the current quarter compared to 2013. The net result is that overall net operating income, or NOI, for the current quarter increased CAD2.6 million or 3.6% compared to the same quarter in 2013. Operating margin at 64% for the current quarter remained virtually unchanged from the same period in the prior year. For the nine months of the current year, NOI increased CAD5.6 million or 2.6% compared to the same period in the prior year. Utilities were higher by CAD4.8 million or 15.8% due to the abnormally colder weather experienced at the start of this year. Slide 38 shows a breakdown of capital. We reinvest into our investment property portfolio. This capital investment is categorized between repairs and maintenance, on-site maintenance personnel cost, maintenance capital, stabilizing and value enhancing capital investments and property plant and equipment purchases or PP&E. Repairs and maintenance and on-site maintenance personnel costs are expensed when incurred since they are regular and ordinary expenditures necessary to maintain the operating condition of a property in the short-term. Maintenance capital investment is capitalized and relate to maintaining the existing earnings capacity of our property portfolio. Stabilizing and value enhancing capital and PP&E expenditures are more discretionary in nature and are capitalized and focuses on increasing the productivity and or earning capacity of our properties. For the third quarter of 2014 Boardwalk invested in expense an average of CAd114 per suite on R&M and on site personnel costs and capitalized approximately CAD654 per suite on stabilized investment property improvements. In addition, Boardwalk spent approximately CAD1.3 million or CAD0.38 per suite on PP&E. The next slide, Slide 39, provides a breakdown of our operational capital improvements and capital asset additions for the first nine months of the year. The Trust reinvested back into its portfolio a total of CAD58.3 million, comprised of CAD53.2 million for stabilized investments properties and CAD5.1 in property plant and equipment, compared to a total of CAD57.9 million for the same period in 2013. Included in the amount to reflect Boardwalk's internal capital program, is approximately CAD12.8 million of allocated on-site wages and salaries and certain parts of supply, compared to CAD13.1 million for the first nine-months of 2013. Not included in the pie chart for the first nine-months of 2014 Boardwalk invested CAD0.3 million in developments compared to CAD12.5 million for the same period in 2013. As Slide 40 shows, total overall admin costs which includes operating and corporate G&A. For the first nine months of 2014 CAD41.4 million an increase of CAD0.7 million or approximately 2% from the CAD40.7 million for the same period last year. The increase was due primarily to higher wages and salaries for our property management personnel. I would now like to turn the presentation over to Rob Geremia. Rob.
Roberto Geremia: Thanks William. At December 30, 2014, with the exception of the recently completed new 109 unit complex in Calgary's Boardwalk entire portfolio is classified as stabilized. For the third quarter revenues for these properties increased by 4.2% as compared to the same period with operating cost increasing 7.1% resulting in an NOI increase of 2.6%. For the first nine-months 2014 the Trust reported a same property revenue increase of 4.3%, with expenses increasing by 7.9%, resulting in an important NOI increase of 2.3%. Slide 42 shows the sequential revenue of our stabilized properties over the last four quarters. The third quarter reported an increase of 0.9%, when compared to the second quarter. Slide 43, documents the Trust's strong liquidity position. With CAD161 million an additional CAD196 million in existing line of credit the Trust has CAD307 million of availability. This represents 16% of total debt outstanding at the end of the quarter. Adjusting for the special distribution as noted 16% will be adjusted 13% of total debt outstanding. Boardwalk's debt as a percentage of reported investment property assets were 36% and after adjusting for cash and 37% taking into account the impact of that special distribution. Slide 44 reports the Trust's total debt maturity scheduled at the end of September 2014. We have continued to see a decline in the underlying yield of the government of Canada five-year to 10-year bonds. September 30, the Trust's overall weighted average in place interest rate was 3.43%, higher than the current 10-year NHA estimated rate of 3.1% and well above the five-year posted rate of 2.3%. Boardwalk's remaining amortization under these insured lobes is in excess of 30-years. Slide 45 provides the reader with our estimate of current mortgage underwriting valuations. Boardwalk's balance sheet continues to be conservatively levered at 41% after deducting our current cash position. Slide 46 and 47 provide additional detail on Boardwalk's mortgage portfolio. Of special note is over 3,000 units currently have no outstanding mortgage encumbrances. Slide 47, shows the Trust's interest coverage on a four quarter rolling basis is increased over 3.3 times, the highest in our reported history. Boardwalk's secured mortgage portfolio is over 99% insured under the current NHA insurance program. The use of this insurance has two unique and distinct benefits and a system addressing the two distinct financing risks, these being interest rate risk and renewal risk. With respect the interest rate risk, the NHA insurance provides us the benefit of very advantageous interest rates. With this insurance we are able to obtain competitive interest rates, which currently are approximately 75 basis points to 90 basis points over the corresponding Government of Canada matching bond. Renewal risk is substantially decreased with this insurance and that once obtained it is good for the entire amortization of the mortgage, which in most cases 30-years to 40-years. Insurance is transferable to other approved lenders on term maturity. Slide 48 provides summary of our 2014 maturities. The Trust has completed the financing process of all of 2014 maturities. The result has been a reduction in the overall weighted average interest rate on these maturing mortgages to 2.67%, and the maturing 3.42%. We're able to extend the term on these mortgages to over six-years with an estimated annualized savings of 2%. Slide 49 and 50 focus on Boardwalk's investment property fair value calculations. Slide 49 shows Boardwalk’s reported fair value at September 30, on investment properties was at CAD5.83 billion, slightly up from the CAD5.78 billion reported at the end of the fourth quarter. Slide 50 highlights the IFRS reported NOI and corresponding cap rates used in determination of the fair value of the Trust investment properties. The increase in reported NOI was mainly the results of higher market rents. Slide 51, how is the capitalization rates used in the determining the fair value of these noted investment properties. Overall, weighted average capitalization rate used in determination of the fair value was 5.48% at September 30. Slide 52 details the two key variables in the determination of these estimates, net operating income and capitalization rates. As is noted, a slight shift either negatively or positively in these estimates could materially affect the reported amount. Slide 53, highlights Boardwalks' current normal course issuer bid. Under the current program, the nine months of 2014, the Trust has acquired a total of 430,100 of its Trust units for cancellation on the open market. The average price of these units was CAD66.89. Moving on Slide 54, Boardwalk's 2014 financial forecast. As it's customary on a quarterly basis the Trust reviews financial guidance provided. This review includes a comparison of actual results to those anticipated as well as review of the key variables used in determining the forecast. Based on this review, the management has determined that a tightening of the existing financial guidance is warranted. The revised FFO and AFFO ranges for 2014 are CAD3.32 to CAD3.41 and CAD3 to CAD2.19 respectively. The operating strength reported in the third quarter has placed us back in line with our internal estimates and when combined with the purchase of Trust units under our existing NCIB, we have been able to make up the lost FFO per Trust unit resulting from the sale of properties that occurred in the second quarter of 2014. Determining our key assumptions include, excluding the noted property sales, no additional acquisitions or dispositions during the forecast period and stabilized building NOI should increase as compared to the prior year between 2% to 4%. Slide 55 reports our 2014 capital guidance. For 2014, we are anticipating a total capital investment of CAD96.6 million including CAD2.2 million allocated to development. The noted increase in the development budget is the result of draws anticipated to be occurred prior to year end of 2014 on the development project we have just commenced in Regina. We have maintained our internal estimation on the amount of capital referred to as maintenance capital of CAD475 per apartment unit per year. Moving on to Slide 56, Boardwalk's distributions. As it's customary at each board meeting, the trustees review the Trust's unitholders distributions. As a result of this review, the Board has determined to maintain its regular distribution at CAD0.17 per Trust unit or CAD2.04 annualized. In addition to the Trust's regular distribution, the Board of Trustees has approved a special distribution in the amount of CAD1.40 per Trust unit. This distribution is the result of a substantial capital gain made on the sale of 735 apartment units in British Columbia and Edmonton in the second quarter of 2014. Included in this determination of taxable income, if any taxable capital gains on the noted transaction. In addition, Boardwalk's declaration of Trust requires that if we distribute the taxable portion of any capital gain we are also required to distribute the non-taxable portion as well. This distribution will be distributed to unit holders of record on December 31, 2014 and paid on January 15, 2015. Moving on to Slide 57, Boardwalk’s 2015 forecast. Consistent with prior years at Boardwalk, the Trust released its next year's financial statements and financial guidance as part of the Q3 disclosure. As is noted, for fiscal 2015 we anticipate an FFO range of between 340 to 360, and an expected AFFO forecast range of 307 and 327. In determining these amounts, our key assumptions include, no new acquisitions or dispositions during the forecast period, the development project in Regina will not be completed in 2015 and as such will have no impact on the financial guidance results. Stabilized building NOI should increase as compared to the prior year between 1% to 4%. We have also increased our internal estimation on the amount of capital referred to as maintenance capital of CAD500 per apartment unit. Slide 58 to 61, report our forecasted capital budget for 2015. As for our operational properties we are anticipating a total 2015 budget of CAD98.8 million. In addition, we have approved a budget of approximately CAD12.2 million being allocated to the development area. The majority of the development capital is for the Pines project located in Regina. In addition, for your reference, Slide 61 provides more detail on our determination of maintenance capital. On average for larger capital projects such as rooms or exterior upgrades, these are amortized over 12 years while specific suite capital in our internal capital program are amortized over 3.5 years which approximates the average customer stay at Boardwalk. This concludes our formal part of our presentation and we'd like to open the lines up for calls now. Operator?
Operator: (Operator Instructions) Your first question comes from Jonathan Kelcher from TD Securities. Your line is now open.
Jonathan Kelcher – TD Securities: Thanks, good morning.
Sam Kolias: Good morning.
William Wong: Good morning.
Jonathan Kelcher – TD Securities: Just first on liquidity, now that you have your 2015 budget, you're going to pay out the special distribution, what are your plans in terms of up financing 2015 maturing mortgages? Looks like you can do about CAD200 million of up financing.
Roberto Geremia: Jonathan, it's Rob. Currently we're looking at it's a tough financing. Our amortization of our existing mortgages. So we don’t plan at this point in time to significantly upgrade to increase the cash balance again. Adjusting for what happened in 2015 plus special distribution put us still around CAD80 million of cash in the bank which still gives us as we believe our CLF liquidity to more forward. Now we do have the abilities to currently what we tend to do is go out and get the insurance on the mortgages for the maximum amount then we can always draw when we want in the next period as well too.
Jonathan Kelcher – TD Securities: Okay. What's your amortization roughly per year?
William Wong: On the mortgage it’s about 3%, so right about CAD42 million to CAD45 million per year amortization.
Jonathan Kelcher – TD Securities: And just sort of sticking with the special distribution, now that you have completed that or well you have announced it anyways. What are your thoughts on the MCIB going forward?
Sam Kolias: We still think it’s a good value out there right now, obviously its price sensitive and the data that we disclose shows where we're buying, so we are always looking for opportunities if we see an opportunity to buy more stock using our cash reserves. We will look at it again as well. To the end we have not shutdown the MCIB it is still there and up in running.
Jonathan Kelcher – TD Securities: Okay, but you are fairly like you did CAD20 million in Q3 and I think the original plan was to do – not the whole 90 of equity you got out of your sale, but a good chunk of that. Is that – I think you are at 30 so far.
Sam Kolias: Yes. And then we have allocated fund for special divisions as well too on top of that. So I think its fair to say for this point in time we've bought back a lot of good stock and as we see opportunities to buy some more we will.
Jonathan Kelcher – TD Securities: Okay, so now that would be more opportunistic than more of a determined plan that you previously were.
Sam Kolias: That’s correct, I think we've used most of the equity for special distribution than the actual buy stock that we have. So now we are – but again if we see an opportunity we do liquidity available to invest there as well.
Jonathan Kelcher – TD Securities: Okay. That’s great. Thank you.
Sam Kolias: Thanks.
Operator: Your next question comes from Mario Saric from Scotia Capital. Your line is now open.
Mario Saric – Scotia Capital Inc.: Hi good morning.
Sam Kolias: Good morning.
William Wong: Good morning.
Mario Saric – Scotia Capital Inc.: Just one question, with respect to fundamentals, I know you are seeing a bit of weakness in Fort Mc much like many of your competitors are. It’s a very small part of your portfolio about 1% so its not a big deal, but I’m just curious and I haven’t done the work yet, but I’m curious whether historically changes in sentiment or vacancy in Fort Mc have had any predictive value for expected changes in Edmonton and Calgary whether its three-months, six-months, nine-months later.
Sam Kolias: Yes Mario, if you go back to our record and I'll say we would agree we have called Fort McMurray, the canary in the coal mine, so absolutely a slowdown in Fort McMurray and overall slowdown in capital expenditures in that region will absolutely impact the economy in the rest of the province. So yes that could happen. So far as per decline on capital expenditures we're still off over CAD200 billion of capital expenditures which is just too much compared to the labor resources that we have available in this province. So far its not seen a huge drop, the Sun Corp announcement that they are going to go ahead was a positive, we are also quite surprised with that and so that its typical most big, large upgrader projects are done over a very long period of time and the decisions are made for a long-term horizon, not over a short term basis, based on current fluctuations in oil prices. So it's really impossible to predict the future as we've always said. Our crystal ball has been wrong so many times we've thrown it out. But you right it historically has been a canary in the coal mine. One thing about Fort McMurray though is that is the biggest factor and it’s the biggest factor that predict vacancy rate is new supply. Fort McMurray has had a huge amount of new supply and that’s not really being seen in Edmonton and Calgary in a an extreme basis. We are seeing a lot more new supply in both Calgary and Edmonton, but it’s historically its not all time records or above all time record highs. So that's encouraging to see. So our supply's higher in Calgary and Edmonton, but not setting any new all-time records. So that's an offsetting positive. Our supply is a little bit – a lot more in balance than it typically is historically. But we are watching it very carefully and that's why we're being very careful on our rental adjustments and competitive and forward-looking in our rental adjustments and have not realized rents that we could have in anticipation of more competition coming on in new supply.
Mario Saric – Scotia Capital Inc.: And this Sam when you refer to new supply, you're referring to I guess rental or home ownership or both?
Sam Kolias: All of the above affects us, because it's a domino effect. Even luxury homes affects us because of the move-up effect. So there 's a domino effect no matter what kind of supply is introduced in the marketplace. We are affected because people move up and along the housing supply spectrum. So all supply is competition to us and that's why we take such a balanced approach to rental adjustments because sooner or later, and unfortunately it's later for resident members, new supply does get introduced and competition does take effect and balances out the rental market. And we've experienced that over and over in 30-years. That's why we've adopted a very unique approach to rental adjustments and taking a smooth, long-term approach to our adjustment which is essentially CPI adjustments going forward, which creates a lot more stability and predictability to our revenues and our results and our performance and that's why we have historically demonstrated that and produced very l solid results during a very negative economic time i.e., the great recession that we experienced between 2007 and 2011, 2012, we produced some exceptional results during those times because of the approach we took with our rental revenue and our adjustments to our existing residents. This time we're being very conservative with our new resident members as well. So we're being even more long-term thinking in our approach and that's why you're not seeing huge mark-to-market in our rental numbers like you did back in 2006. We've changed that approach to new residents and treat them like existing residents and long-term residents. So we're geared for the long term, Mario.
Mario Saric – Scotia Capital Inc.: That's fair. So it sounds like you started to look at or if I thought your 2015, guidance. It sounds to me like with respect to Edmonton let's say specifically that rental rate growth you're looking for CPI type growth and then in terms of occupancy in the 2015 guidance, what are you looking for in Edmonton on a year-over-year basis?
William Wong: Well, we’ll keep a look at this. We're at 19% now. We're going to keep it – maintaining that estimate moving forward. We don't expect to lose much occupancy in the upcoming year.
Sam Kolias: Mario, what we’re seeing as well, it used to take 15 days to rent all our units in Calgary and Edmonton. The back half of the month we essentially had no units available. The last couple months we've been taking the entire month to rent out our availability. The good news is, we're renting out all our availability every month still in Calgary and Edmonton just taken us a little bit longer. So we're not seeing any need to introduce incentives so far and we are going to watch that very carefully because our approach is to maintain a high occupancy even in a lower market-wide occupancy. So our occupancy levels have to be high or we learned that the higher they are, the better our bottom line is, because our expenses are fixed for the most part. So we can't rent an apartment that was empty last month for last month again and that's why we're very, very sensitive to the high occupancy because that's opportunity lost if we don't take advantage of that. That's one thing that we learned over the last slowdown. And that's why we did as well as we did, because we focused in on high occupancy no matter what kind of market conditions there are. That has been a tweak to our strategy as well.
Mario Saric – Scotia Capital Inc.: It was a strategy that certainly worked quite well last time around. So thank you for that.
Sam Kolias: Thanks, Mario.
Operator: Your next question comes from Matt Kornack from National Bank Financial. Your line is now open.
Matt Kornack – National Bank Financial: Hi, guys.
Sam Kolias: Good morning.
William Wong: Good morning.
Matt Kornack – National Bank Financial: Just quickly in terms of margins going forward and how you see that developing, they're down a little bit on a year-over-year basis. Can you speak to it in terms of what you see going forward into 2015?
William Wong: Yes, there's going to be a slight tighten as well too as we're seeing revenue growth still strong, but expense growth is still continuing as well. There's a lot of areas where particularly in certain markets like Regina and Saskatchewan in general where the non-controllable costs such as many utilities, not including gas and electricity, but more in the water and sewer are going up substantially and our rent levels aren't keeping the pace. There probably will be a slight tightening of the margins as well for 2015.
Matt Kornack – National Bank Financial: Okay. And in terms of the special distribution, if you hadn't done a special distribution what sort of tax impact would have there been in 2014? Do you have those numbers?
William Wong: Well, the tax – the calculation for special distribution is almost dollar for dollar, how much taxable income would have been for the Trust. So and because the Trust is taxed at the highest personal rates, it would be 39%. So if you take the CAD40 was roughly CAD70 of additional income we couldn't shelter at 39% will give you the tax leakage we hadn't distributed.
Matt Kornack – National Bank Financial: Okay. And just on that note, there any impact on the existing distributions in terms of the taxable versus nontaxable component or because you pay it out it shouldn't impact it?
Sam Kolias: Matt, it’s going to be the regular distribution is probably going to be more like 100% taxable for 2014.
William Wong: Okay. Just as a clarify, it won’t be 39% of CAD72 million, half of that is tax free capital gain, [indiscernible] 39% of half of the special distribution, but we're required to distribute both parts for declaration Trust.
Matt Kornack – National Bank Financial: Okay. Perfect, thanks guys.
William Wong: Thanks.
Operator: Your next question comes from Frederic Blondeau from Dundee Capital Markets. Your line is now open.
Frederic Blondeau – Dundee Capital Markets: Thank you, good morning.
William Wong: Good morning.
Frederic Blondeau – Dundee Capital Markets: My questions have been answered, but I was wondering what are your views on Eastern Canada and more specifically on Quebec, macro and real estate fundamentals at this point? Thank you.
Sam Kolias: Really encouraged. We were in Windsor, Ontario, actually and we asked locals how much a house costs in Windsor, Ontario and they said CAD100,000 and a brand-new one is CAD200,000. For affordability is so, so high in that market and we heard jobs are coming back in the tool and die industry, not for automobile manufacturers, but for other manufacturers all over the world and the locals say Windsor's a much better place to do business than Mexico now and with CAD100,000 home that’s sounds like the price about the same as well and so we are encouraged overall agency is 6%, so we believe the trend from 12% to 6% and hopefully its going to continue moving down will allow us to realize about guideline increases, because in the past the high vacancy and lots of competition in the marketplace its really difficult for us to apply and guess above guideline increases for the market. London is pretty steady market, what we do see in London on a ongoing basis is new supply from local developers that’s got construction crews that they just keep employing and keep building any opportunity builder – the resident builders in London get to building supply they do and so that really keeps the market very competitive and balanced all the time. Quebec – Montreal is stable, but Quebec steady vacancy is higher because there has been a lot of new supply in Quebec City. So we debated as to Quebec in the cycle chart and so we just kind of left it where it was, but Quebec city would be in the incentives higher vacancy higher part if we split up Quebec city and Montreal and so that’s kind of what we are seeing in Quebec. Expenses, we really got hit with utilities, natural gas has been a real hit this year and so far so good we are seeing natural gas prices a little bit off what they were this year for next year and we are hedging a lot more and locking in the floor of prices versus this year and so that has been incorporated into our budget going forward next year and we will also try to get more rents in Montreal, but its very, very difficult to get rental increase above the guideline increases in Quebec.
Frederic Blondeau – Dundee Capital Markets: Right, right and so if I read you well you are still committed to Quebec City, right?
Sam Kolias: Yes. Yes we are but disappointed because of expenses going up higher than revenues, we cannot continue on that path on for sure and we hope expenses in utilities will come inline and our revenues – net operating incomes will get ahead going forward with energy prices coming down, but again the last few years has been very difficult in Quebec and we're not happy about it, that's for sure.
Frederic Blondeau – Dundee Capital Markets: Right, perfect. Thank you very much.
Sam Kolias: Thanks Patrick.
Operator: There are no further questions at this time. I turn the call back over to the presenters.
James Ha: Thanks Lita. If you missed any portion of today's call, a copy of this webcast will be made available on our website www.boarwalkreit.com, where you'll also find our contact information if you have any further questions. Thank you again for joining us this morning. This now concludes our call.
Operator: This concludes today's conference. You may now disconnect.